Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:03 Greetings and welcome to the PolyPid Fourth Quarter and Full Year 2021 Conference Call. At this time, participants are in a listen-only mode. As a reminder, this call is recorded. And I would now like to introduce our host for today’s conference, Bob Yedid from LifeSci Advisors. Mr. Yedid. You may begin.
Bob Yedid: 0:23 Thank you all for participating in PolyPid’s Fourth Quarter and Full Year 2021 Conference Call. Joining me on the call today will be Amir Weisberg, Chief Executive Officer; and Dikla Czaczkes Akselbrad, Executive Vice President and Chief Financial Officer. Earlier today, PolyPid released financial results for the three months and 12 months ended December 31, 2021. A copy of the press release is available in the Investors section of the company’s website, www polypid.com. 1:01 I’d like to remind you that on this call, management will make forward-looking statements within the meaning of the federal securities laws. For example, management is making forward-looking statements when it discusses the expected recruitment for trials, the interim analysis, is timing and potential implications, timing of trials and release of results thereof, the capacity of the company’s manufacturing facility, the company’s pipeline, the potential benefits of D-PLEX100 and OncoPLEX, the company’s potential partners and sufficiency of the company’s cash to fund future operations. 1:43 Forward-looking statements are subject to numerous risks and uncertainties, many of which are beyond our control, including the risks and uncertainties described from time-to-time in our SEC filings. Our results may differ materially from those projections. These statements involve material risks and uncertainties that could cause actual results or events to materially differ. Accordingly, you should not place undue reliance on these statements. 2:10 I encourage you to review the company’s filings with the SEC, including without limitation, the company’s Form 20-F, which identifies specific factors, which may cause actual results or events to differ materially from those described in the forward-looking statements. PolyPid disclaims any intention or obligation except as required by law to update or revise any financial projections or forward-looking statements whether because of new information, future events or otherwise. This conference call contains time-sensitive information and speaks only as of the live broadcast today, February 9, 2022. 2:51 With the completion of those prepared remarks, it’s my pleasure to turn the call over to Amir Weisberg, CEO. Amir?
Amir Weisberg: 2:59 Thank you, Bob. On behalf of our team at PolyPid, I would like to welcome everyone to our Fourth Quarter and Full Year 2021 Earnings Call. I will begin today with some brief comments on planned transition in our senior leadership team. Dikla will provide the detailed business update and then she will review our financial results after which we will open the call for your questions. 3:31 As you know, we recently announced a planned CEO transition. This year, I will be reaching the formal retirement age, which is typical for a company executive in Israel. So effective on July 1, 2022, I will retire as a CEO, a role in which I have fulfilled for over 11 years. It has been an honor to have served as a CEO of PolyPid throughout the development phase of our company. 4:06 Our Board of Directors has appointed Dikla as PolyPid's Chief Executive Officer effective July 1, 2022. As we prepare for our next phase of growth, Dikla is the ideal future leader of the company. She brings clear focus on operations and proven track record on driving growth and innovation. She has also led our strategic and financial planning and capital raising efforts, including our IPO in 2020. 4:41 I look forward to continuing to work closely with Dikla in order to ensure a smooth transition. I would also like to take a moment to acknowledge the planned retirement of Dr. Shaul Mukhtar, Chief Operating Officer, who will be retiring from the company next month. We would like to thank Shaul for successful leading the scale-up of the manufacturing capabilities which is now complete and advancing our clinical development programs. 5:14 We believe that PolyPid is in the strongest operational position in its history, and we are well positioned for long-term success. We continue to strongly believe that our current balance sheet will be sufficient to complete the SHIELD I study and prepare for the submission of NMDA to the FDA as well as further advance our OncoPLEX development platform. 5:44 With that, I will now turn the call over to the Dikla to provide some further updates on our business. Dikla?
Dikla Czaczkes Akselbrad: 5:54 Thank you, Amir. And thank you all for joining us on the call. First, on behalf of the management team. We would like to thank Amir for his leadership of PolyPid for over a decade, his strong belief in our PLEX technology and its potential benefit for patients has been a driving force at our company. He has recruited and built a strong management team, established our manufacturing base that lets us control this critical aspect of our business and established our operation team in Israel and the U.S. It has been my privilege to work with Amir and we look forward to his continued leadership and active involvement for the next several months. 6:41 Next, I would like to express how grateful and proud I am to have the opportunity to lead PolyPid at this exciting time in our corporate evolution. You won't find many Israeli biopharma companies that have reached our current stage, where we are well on our way to complete a Phase III pivotal trial with several hundreds of patients, and this is a milestone that we are approaching at a steady pace. 7:13 I'm excited to continue working with our talented and passionate team to achieve better clinical and operational success and execute on the many opportunities that lie ahead for us. With that, I will now provide a brief update on the status of our pipeline. Most importantly, a few days ago, the FDA agreed to PolyPid's request for the addition of an unblinded interim analysis in SHIELD I, our Phase III study evaluating D-PLEX100 for the prevention of abdominal soft tissue surgical site infection. Our request was based on the FDA recently established guidance for pharmaceutical companies to address the impact of COVID-19 on meeting enrollment and study objectives for clinical trials conducted during the ongoing pandemic. 8:15 The interim analysis is expected during the second quarter of 2022, once 750 patients complete their 30-day follow-up and will allow for early trial stopping due to efficacy, futility or for sample size reassessment. An early stop to the trial will occur if the efficacy results on the SSI rate is better than expected. This interim analysis is an exceptional opportunity for PolyPid to more precisely define the targeted patient enrollment range for the SHIELD I study. Also, as planned, a recent blinded sample size reassessment was conducted following the completion of the 30-day follow-up period for the fifth 100 patients enrolled and it supports the continuation of SHIELD I trial. 9:12 Looking forward, the pace of enrollment in the SHIELD I trial continues to be robust. And we expect this trend to continue in 2022, targeting 200 to 250 enrolled patients per quarter. We now have approximately 680 patients enrolled into the study across approximately 60 centers in the United States, Europe and Israel. As such, we expect to reach the 750 enrolled patients for the interim analysis by the end of the first quarter. We are very pleased with the rate of enrollment, especially considering the holiday season and the destruction to hospitals caused by the surge of COVID-19 infection, driven by the Omicron variant. 10:06 From a financial standpoint, as discussed on our last call, because we only need to conduct SHIELD I to potentially receive FDA approval and do not need to ramp up enrollment in SHIELD II, we continue to expect that our cash runway will be extended to the end of this year. SHIELD II has currently over 200 patients enrolled, and as a reminder, it includes broader eligibility criteria, including minimally invasive procedure. 10:41 Now let's switch gears to discuss commercialization. In terms of potential collaboration for the future commercialization of D-PLEX100 in the U.S., Europe and Asia, we remain in dialogue with several large and mid-sized pharmaceutical companies that we believe would be ideal commercial partner for D-PLEX100. 11:03 As we have said previously, these companies are leaders in selling pharmaceutical products to the hospitals often with current portfolio of marketed products, have strong established commercial infrastructures, exhibit a deep understanding of clinical and pharmacoeconomic benefits in the hospital channel and maintain strong relationships with the hospital, medical and administrative staff. 11:33 Importantly, there continues to be high level of interest in D-PLEX100 from these potential partners. While there is currently no formal timeline related to executing any potential partnership in the U.S. or other regions, our most critical objective is to maximize the value of D-PLEX100 in any potential transaction. So if and when we do finalize partnership agreement, this will be the determining factor. 12:06 As we continue to advance D-PLEX100 in the clinic, execute on our commercial pipeline and conduct partnering discussions, we also remain focused on building the significant body of evidence in support of the safety and efficacy of this promising product candidate. As such, we plan to have a number of peer-reviewed publications and data presentation and important medical meetings throughout 2022. This is obviously an important strategy for all of our key audience, physicians, payers and potential partners. 12:47 Now I'd like to further elaborate on the status of OncoPLEX. Our intra-tumoral chemotherapy product candidate, initially targeting solid brain tumors, including those that are chemotherapeutic resistant. As a reminder, OncoPLEX provide local prolong and controlled exposure to docetaxel in the intraoperative tumor resection study. 13:12 As you know, docetaxel is one of the most widely used chemotherapy agent worldwide. Following a recent pre-Investigational New Drug meeting late last year, the FDA indicated that OncoPLEX will be considered as part of the potential first-line combination therapy of patients newly diagnosed with GBM. This is very encouraging news for our company. We believe this is indicative of its significant potential to treat brain tumors and could have substantial commercial benefit. If shown to be safe and effective in clinical trials and subsequently approved. 13:58 We are now focused on working on the design of our planned Phase I/II trial of OncoPLEX with our world-class oncology Advisory Board, for which, we are thrilled to add two distinguished members to this group over the past few months. Dr. Frederick Lang is the Chairman of Neurosurgery at the University of Texas MD Anderson Cancer Center and is co-leading MD Anderson Glioblastoma's Moon Shot initiative. This initiative is dedicated to saving the lives of patients throughout the development of new therapies and better treatment approaches. 14:37 Dr. Lang is considered as one of the world's foremost experts in the treatment of brain tumor. Dr. Mitchel Berger is the Guggenheim Professor of the Department of Neurological Surgery at the University of California, San Francisco. He serves as Director of the UCSF Brain Tumor Research Cancer, a leader in translational research and is a principal investigator of a specialized program of research excellence in neuro-oncology, funded by the National Cancer Institute. We are working enthusiastically with these world-renowned physicians and are excited to have the opportunity to leverage their best experience and commitment to innovation in brain cancer. 15:28 With that, I will now review our fourth quarter financial results. Let's begin with PolyPid's balance sheet information. As of December 31, 2021, the company had cash, cash equivalents and short-term deposits of $32.2 million as compared to $66.6 million as of December 31, 2020. Cash used in operations for the 12 months ended December 31, 2021 totaled $32.4 million. 16:03 Now let's turn to our income statement. Research and development expenses for the three months ended December 31, 2021, were $9.5 million compared to $5 million in the same 3-month period of 2020. The increase in research and development expenses resulted from the increased costs and activities related to the ongoing SHIELD I and SHIELD II Phase III clinical trials in abdominal surgery. 16:32 For the full year ended December 31, 2021 and 2020, R&D expenses were $30.4 million and $17 million, respectively. Marketing and business development expenses for the fourth quarter of 2021 were $1.1 million compared to $710,000 for the same period of 2020. The increase in marketing and business development expenses are due to initiating the pre-launch activities. 17:03 General and administrative expenses for the fourth quarter of 2021 were $2.8 million, slightly higher than the $2.2 million recorded in the prior year period. For the fourth quarter of 2021, the company had a loss attributable to ordinary share of $13.2 million as compared to $7.5 million in the prior year period. This was primarily driven by a solid rate of patient recruitment in the SHIELD I and SHIELD II Phase III clinical trials and the associated costs. For the year ended December 31, 2021, the company had a loss attributable to ordinary share of $42.3 million compared to a loss of $39 million in the full year 2020. 17:57 We'll now open the call for your question, operator.
Operator: 18:02 Thank you. [Operator Instructions] Your first question today comes from the line of Gary Nachman from BMO Capital Markets. Please go ahead, your line is open.
Unidentified Analyst: 18:30 Hi, good morning. This is [Indiscernible] for Gary Nachman. Well, first of all, congrats on the updates and the CEO transition to both Dikla and Amir. So first, for the planned interim analysis for SHIELD I, would you be able to share some more detail on what specific analysis you'll be conducting to determine the efficacy or futility? And how would that be different from the recently completed blinded sample size reassessment that was completed?
Dikla Czaczkes Akselbrad: 19:00 Thank you and thank you for your word. It's very different the – the 500 was unblinded. We are talking here about the full interim blind -- sorry, the 500 was blinded. We are talking here about an unblinded interim analysis, full interim analysis where the DMC will be reviewing the effect and actually calculating the effect rate. And we have the opportunity here because it's unblinded to have an early stop which we didn't have. That's the main aspect of it, it's derisking the program and allowing us to have an earlier, you could say, peak or inflection point in terms of the interim and real insight into the effect rate.
Unidentified Analyst: 19:55 Got it and would you have to take a statistical hits on blind that data to perform…
Dikla Czaczkes Akselbrad: 20:00 So we have a small, we have a small statistical penalty few dozens of patient, again, this goes to the specific guidelines that the FDA issued regarding COVID. So it's a small statistical penalty, yes, of several dozens of patients.
Unidentified Analyst: 20:21 Great. And one more follow up. For OncoPLEX, would you – will share some color on the study design for Phase I, II trial and the GBM in terms of size or strength, or any other parts of the protocol?
Dikla Czaczkes Akselbrad: 20:38 So as we said today, we met the FDA late last year for pre-IND meeting and got a general agreement around the preclinical and clinical program. We are now working on the design of the Phase I/II together also with our KOL. So once we get better clarity internally of the design, then I'm sure we will be able to share, but we are still at the pace of designing the trial based on the comments that we got.
Unidentified Analyst: 21:13 Got it. Thank you.
Dikla Czaczkes Akselbrad: 21:16 Thank you.
Operator: 21:17 Thank you. Your next question comes from the line of Elliot Wilbur from Raymond James. Please go ahead, your line is open.
Hannah Smith: 21:27 Hello, this is Hannah Smith on behalf of Elliot. Assuming 750 patient interim readout delivers positive results from SHIELD I. Will you continue to recruit and enroll the full 900 patients to support generation of various secondary and marketing end points that you previously planned on doing?
Dikla Czaczkes Akselbrad: 21:50 So the reality is, first of all, we will be very happy with such overwhelming results. The reality of the pace of recruitment that we are in is that probably by the time that we get the input from the DSMB committee -- the DSMC committee we will be at 900 patients. So practically, this will come at the same point. As we said, if you remember, we said that we expect to recruit the last patient during the second quarter. So with approximately 900 patients. So timeline here are aligned.
Hannah Smith: 22:34 Okay. Also do you use, what is your timeline for OncoPLEX, the Phase 1 study in 2022? Can you elaborate a little bit more about that?
Dikla Czaczkes Akselbrad: 22:46 I can. So first, I want to remind everyone that this is an early stage program. We are still at the preclinical stage. We expect to be ready for Phase I/II by the end of this year. And we are working diligently on that. This will be including submitting towards the end of the year in IND application, producing the product with GMP condition and a lot of other parameters that are required to go into Phase I/II in GBM. So it's early to say what will be the actual timeline for the Phase I/II, once we have the design and we can share details on the design, we can also be in a position to give more clarity on the timeline for this trial, right?
Hannah Smith: 23:42 Okay, great. Thank you so much, Dikla and congratulations.
Dikla Czaczkes Akselbrad: 23:45 Thank you.
Operator: 23:48 Thank you. Your next question comes from the line of Brandon Folkes from Cantor. Please go ahead, your line is open.
Brandon Folkes: 23:58 All right, thanks for taking my questions, and congratulations on the progress. And Amir, obviously, congratulations on the retirement in particular, congrats on the appointment, or is it?
Amir Weisberg: 24:07 Thank you.
Brandon Folkes: 24:09 Maybe just following on from the similar line of questioning. Dikla, you talked about by the time you've -- well, the committees completed the interim look. You're going to have that data or be close to having the data on the 900 patients. So is the agreement, with the FDA, to potentially submit on the 750 or would you be submitting, both efficacy and safety on potentially close to 900? And then similarly, does the agreement still include SHIELD II safety data at time of submission? Thank you.
Dikla Czaczkes Akselbrad: 24:45 Thank you, Brandon. We will be submitting based on the 900 patients that will be recruited at the time. It can vary and can be a little bit smaller than that. But more or less at that range. And we do plan on submitting also the safety data from SHIELD II that now includes over 200 patients. Probably by the time we'll have some -- will have slightly larger number of patients in this trial.
Brandon Folkes: 25:20 Great, thank you very much.
Dikla Czaczkes Akselbrad: 25:23 Thank you.
Operator: 25:26 Thank you. Your next question comes from line of Roy Buchanan from JMP Securities. Please go ahead. Your line is open.
Roy Buchanan: 25:34 Hi, great. Thanks for taking the questions. I guess kind of in the same vein as the prior question, it sounds like you're not really seeing any impact from Omicron or anything else on enrollment is going quickly. It sounds like this interim could occur. I mean that's only 70 patients from 680 to 750. So it sounds like it could occur very early in the second quarter. I guess the question is, was there anything in the blinded interim the 500-patient interim that informed the addition of the 750 patient interim? And then where are you guys at with manufacturing? Thanks.
Dikla Czaczkes Akselbrad: 26:10 So I'll -- first of all, thank you for your question, and I'll go one by one. The 750, the interim by the time that we asked -- we submitted to the FDA the request for the interim and this was before we had the blinded assessment of the 500. So there was no influence on that. The way we look at the interim is an earlier ability for derisking of the program, earlier peak to result as well as having the ability to adjust if needed. And I think you had one question that I missed. But with regards to manufacturing, we are very pleased with the progress. If you remember last year, we've done scale-up processes, and now we are in the process of getting the manufacturing facility back into capacity as well as the validation needed for that, and things are progressing in parallel to our Phase III. So by the time that we finalize this Phase III and submit the data for an NDA, we should be ready for FDA inspection and all the review that comes with that. And sorry, you had another question?
Roy Buchanan: 27:37 I think you covered it, but actually the – actually the interim, I guess, how much time do you think it'll take you to clean up the data following the 30 days?
Dikla Czaczkes Akselbrad: 27:48 Thank you. So as you rightly mentioned, we are now even with less than 70 patients from last patient to the 750 required for the interim. It's a process. It's a process we need to wait for the 30-day follow-up. There is a clean-up and there is a time that DMC requires to evaluate and unblind the data and guess. We gave guidance that we are very comfortable with having the interim during the second quarter. And as we progress and recruit the 750, if we can even be more specific, we will, but we are very comfortable with relatively few months from now to second quarter to have the interim data, the unblinded.
Roy Buchanan: 28:41 Okay, great. And then I guess on OncoPLEX, you kind of answered it, probably still, you're still designing the Phase 1, 2, but I'm just curious how you're thinking about the combinations, investigator’s choice, are you going to allow additional chemotherapy on top of the OncoPLEX. Thanks.
Dikla Czaczkes Akselbrad: 29:00 So first, I think that -- important that investors will recognize that the feedback from the FDA was very positive, having the ability to be first-line treatment, first-line combination treatment for newly diagnosed. This is really, from our perspective, a great achievement. It opens large sets of patients that could be enrolled to this trial as well as the ability to treat newly diagnosed. So this is -- from our perspective, this is everything that we wanted from the pre-IND meeting. We do expect it to be part of other combination therapies. I must say that unfortunately, for the patient, there is no real efficacious chemotherapy for GBM. There are some that are passing their BBB, but they are not viewed as very efficacious. 30:03 So -- and also another thing to remember, the systemic chemotherapy is usually given few weeks after surgery. So there is some time between the surgery to the time the patient actually get this line of treatment. The OncoPLEX is part of the surgery and the treatment start immediately. Patients get it as part of the surgery, the exposure to the chemotherapy is immediate, and this is very important to the ability to potentially delay or even eliminate reoccurrence of the tumor.
Roy Buchanan: 30:47 Okay, thank you.
Operator: 30:50 Thank you. We will now take our last question from the line of Cindy Lee (ph) from Barclays. Please go ahead. Your line is open.
Unidentified Analyst: 31:00 Hi, good morning. This is Cindy on for Balaji. Just a quick one from us. Could you share your thoughts on the SHIELD II study especially as it relates to current cash levels and capital requirements? Thanks.
Dikla Czaczkes Akselbrad: 31:13 So, thank you. Yes, so as we said in the last two calls, we are focusing on SHIELD I, both in terms of our resources as well as timeline. From the time that we heard from the FDA last year, under the Breakthrough Therapy designation that they will request only one Phase III, we decided to prioritize SHIELD I in terms of resources, timelines and everything that is associated with that. And manage Q2 at a slower pace. And this is what we are, this slower price still added 200 patients. We look at it as an expansion of the indication, SHIELD II would be submitted post-approval. And probably determining what will be the result and the data from SHIELD I will also do adjustments in terms of the size of the trial, we will not need it to be a Phase III in terms of the size and the design.
Unidentified Analyst: 32:18 Got it. Thank you.
Dikla Czaczkes Akselbrad: 32:22 Thank you.
Operator: 32:24 Thank you. I will now hand the call back for any closing remarks.
Amir Weisberg: 32:29 Thank you for joining our fourth quarter and full year 2021 earnings conference call. I would like to say again how excited we are about the progress we have achieved today, specifically regarding our D-PLEX100 clinical program, as well as the opportunities that layer out in the fast. We remain grateful to our team members and all our external partners for their commitment to our mission, and their support in continuing to advance toward achieving our goal of bringing D-PLEX100 and OncoPLEX to healthcare providers and patients as quickly as possible. I look forward to speaking with you on our next quarterly call.
Operator: 33:21 Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.